Operator: Good morning and welcome to the fourth quarter 2007 conference call for Old Dominion Freight Line. Today’s call is being recorded and will be available for replay beginning today and through February 8th by dialing 719-457-0820. The confirmation number for the replay is 3149967. The replay may also be accessed through March 1st at the company’s website which is at www.ODFL.com. This conference call may contain forward-looking statements within the meaning of the Privacy Securities Litigation Reform Act of 1995 including statements among others regarding Old Dominion’s expected financial and operating performance for 2008. For this purpose any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. That would mean the foregoing, the words: believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by important factors among other set forth in Old Dominion’s filings with the Securities & Exchange Commission and in today’s new release and consequently actual operations or results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. At this time for opening remarks I’d like to turn the conference over to the company’s President and Chief Executive Officer Mr. David Congdon. Please go ahead sir.
David S. Congdon: Good morning and thank you all for being with us for our fourth quarter conference call. I’m here today with Wes Frye, our CFO. Earl Congdon our Executive Chairman is traveling today. Wes and I each have some brief remarks about our fourth quarter performance and the company’s outlooks for 2008 and then we’ll take your questions. Old Dominion performed reasonably well in the tough environment for the fourth quarter continuing to expand market share and maintaining our disciplined pricing strategies. We are very pleased with the 10.3% tonnage growth compared with the fourth quarter of 2006. This represented the second consecutive quarter for which the comparable period rate of growth in tons increased sequentially. Our weight per shipment increased 5% for the quarter double the increases of the three earlier quarters of 2007 which were in the range of 2.3 to 2.5% growth. Throughout the year and continuing through the fourth quarter we saw normal seasonal and sequential trends in our weight and shipments per day coupled with market share gains inherent in our business model. In the face of an ongoing debate in the media about the potential for a recession we are encouraged that neither an increasing weight per shipment nor normal seasonal patterns is typically associated with imminent recessions. Consistent with our past experience over 95% of our growth for the fourth quarter was through our existing service centers that were opened at least a year. Our ability to grow in our existing network at a rate well above industry averages reflects our continuing opportunity to gain market share. We have adhered firmly to our pricing philosophies of not reducing price to win new business, only doing so when required to meet pricing that threatens our existing market share. As a result we believe our expanding market share reflects our ability to meet customers’ increasing demand for comprehensive services, high quality transparent execution, rapid transit times and broad geographic coverage. By combining all these traits into one non-union fully integrated company, Old Dominion remains uniquely positioned for growth as compared with our regional and national peers. We expanded our geographic and full-state coverage throughout 2007 by a combination of acquisition and organic growth which further contributed to increased market share within our existing network. On December 14, 2007 we completed the acquisition of selected assets of Bullocks Express Transportation based in Denver, Colorado. Bullocks’ eight service centers produced approximately $17 million in annual revenue. Seven of their service centers were combined with ours and their eighth center, Farmington, New Mexico became an additional center for the OD network. The acquisition and integration of their operations and network into OD’s was completed over the weekend immediately following the closing. This acquisition was our second for 2007 after the first quarter acquisition of Priority Freight Lines which also produced annual revenue of approximately $17 million through their eight service centers. The Priority acquisition added three centers to our network and the other five were combined into existing OD centers. The effect of the two acquisitions plus six service centers opened organically during the year brought our total service center count to 192 at year end. You can expect us to continue steadily expanding our geographic and full -state coverage in 2008 and beyond. This will include completing full-state coverage in ten more states and filling in some existing full-coverage states with additional centers. As we mentioned in the news release we reaffirmed our goal of achieving $2 billion or more in revenue for 2010. With 192 service centers in operation at the end of 2007 we are very well positioned to implement this expansion plan successfully. As we again demonstrated in 2007 we have proven capabilities to expand our network through the internal development plus an extensive history of successfully acquiring and integrating attractive LTL operations in accreted transactions. Looking into our crystal ball for 2008 although we expect the pricing environment to remain competitive we are encouraged by improvements thus far in January. Based on our quarterly tonnage growth trends and good momentum thus far in January we expect to continue producing tonnage increases in the high single and possibly low double digit percentage range. Absent an unforeseen recession we are again projecting normal seasonal and sequential trends in tonnage and shipments for the year. Longer term we remain fully confident of the potential for the OD business model to drive solid, profitable growth. As our experience through the economic cycles of the past ten years have proven Old Dominion has outpaced the industry’s rate of growth through strategies that have minimized the impact of the more challenging periods of the cycle while preparing the company for more rapid growth in the stronger economic environments. Because of our inherent structural advantages as a leading regional and inter-regional provider our single source capabilities, our strong financial position and the strengths of our people both our flexible, innovative non-union workforce and our effective management team we are well prepared to pursue our long-term objectives. So, again thank you for being with us today and for your interest in OD and now here’s Wes Frye to review our financials.
J. Wes Frye: Good morning. Old Dominion produced fourth quarter revenues of $358.7 million which was up 12.3% from the fourth quarter of 2006. This growth reflected the combined impact of 5% growth in shipments for the quarter and 7.5% increase in the revenue per shipment. The increased revenue per shipment was a result of 5% increase in the weight per shipment plus a 2.4% increase in the revenue per hundredweights. Excluding fuel surcharge for the quarter revenue per shipment increased 3.5% and revenue per hundredweight declined 1.4%. To an extent the revenue per hundred decline was caused by an increased weight per shipment as well as a decrease in our length of haul both of which causes a downward effect on the revenue per hundredweight. The impact of this revenue per hundredweight decline was a major factor that increased our operating ratio to a 91.6 from a 9.1 for the fourth quarter of the prior. The 150 basis point operating ratio increase for the quarter was also a result of higher operating supplies and expense and deprecation in amortization. These increases were partially offset by lower salaried wages and benefit as a percent of revenue as well as a continued improvement in insurance and cargo claim experience and also our uncollectible receivable balances which are reflected in miscellaneous expenses. During the quarter we also experienced an unfavorable $1.5 million charge in non-operating expenses primarily due to a decline in the value of investments in our Deferred Compensation Retirement Plan. Our effective tax rate for the quarter was 38.3% compared to 37.3% for the same quarter of 2006. As a result of the above discussion our net income was $15.7 million for the quarter down 11.9% from $17.8 million for the fourth quarter of 2006. Our net capital expenditure for 2007 was approximately $190.5 million consisting of $68 million for real estate, $103 million for equipment and $9.5 million for information technology initiatives. For 2008 we plan to spend a net expenditure of approximately $155 to $165 million with roughly $40 to $45 million for equipment, $95 to $100 million for real estate a portion of which is to complete projects began in earlier years and $10 to $13 million for information technology. We remain pleased with the strength of our balance sheet at the end of 2007 which provides us with ample flexibility to continue implementing our growth strategies towards 2008. We completed 2007 with cash in short-term investments of $31 million. Our ratio of net debt to total capitalization was 32.3% at year end below our target of 35%. For 2008 we expect free cash flow from operations to be marginally positive without giving consideration to acquisition or expansion opportunities that might become available during the year. Turning to our guidance and based upon our cautious outlook for 2008 we have established a range for earnings per diluted share of $2.05 for 2008. Consistent with the approach taken by most of our industry peers effective for the first quarter of 2008 we do not plan to provide guidance on a quarterly basis. We do intend to update annual guidance at the appropriate time that any quarter results or circumstances create a material change in our expectation for the full year. And this concludes our prepared remarks and thank you for your time this morning. Operator we’ll be happy to open the floor to questions at this time.
Operator: The question and answer session will be conducted electronically. (Operator Instructions) We’ll go first to Justin Yagerman with Wachovia.
Justin Yagerman – Wachovia Capital Markets, LLC: I’ve got a bunch of questions here, couple you answered during your prepared remarks. I was curious, as you continue your expansion given the current environment in the rest of the country not affecting New York real estate, but are you finding real estate easier to come by? You sounded like you want to fill out ten states will full-state coverage, that’s pretty aggressive. Are you finding that it’s a little easier to find terminals given what’s going on in the broader market?
David S. Congdon: Justin, it has not really changed, it’s still struggling in many markets. It hasn’t really changed from what we’ve said in the past.
J. Wes Frye: That’s one reason our cap ex to real estate, Justin, was under what we originally forecasted earlier in the year is just the ability to find the real estate, even finding the lands in constructual state is still an obstacle.
Justin Yagerman – Wachovia Capital Markets, LLC: Do you have any preference when you’re looking out at those expansions as to whether they be organic or through the continued tuck-in acquisitions? And I guess piggybacking on that, would you consider larger-scale acquisitions when looking at the current landscape?
David S. Congdon: I don’t have any real good comments on that. We always keep our eyes peeled for acquisitions and the larger-scale ones have a lot more things to consider and a lot more risk in the equation and we’re not really thinking about real large-scale acquisitions to be honest with you. But we just kind of keep our eyes peeled for both rates of growth.
Justin Yagerman – Wachovia Capital Markets, LLC: On the weight per shipment, obviously that moving up is a positive sign generally for what you’re seeing at least from economic activity. Were there any specific areas where you saw weight per shipment moving up more? Was there any specific vertical where you felt like shipment size was increasing? Can you give a little bit more color around what you were seeing and I guess the progression through the quarter on weight per shipment?
David S. Congdon: We did see more fairly larger gross in our spot quotes which weigh about 9,000 pounds a shipment but the spot quotes still only represent about 2% of our total tonnage or maybe less than 2%, so it wasn’t a material affect on the weight per shipment.
J. Wes Frye: But even when you look to our contractual customer which makes up the major portion of our overall revenue that was still up 5% as well. We haven’t looked at or been able to see at this point specifically which areas of the company or customer base that it has other than overall.
Justin Yagerman – Wachovia Capital Markets, LLC: In terms of market share names you talked about that a bit. Can you give a little more color around that? Where you have been gaining share. Is that also across the board or are there specific regions? One of your competitors talked about gaining traction in the upper Midwest in the regional market this quarter. Are there areas specifically where you’re seeing your product gaining in terms of market share?
J. Wes Frye: For several quarters and maybe even years we’ve always seen a higher growth in the Midwest and in the Western portions of the country simply because it’s less mature for us. Whether that’s traction from any consolidation or etcetera I’m not sure, but we’re just growing higher in those just by virtue of the fact that we have a lower market share base.
Justin Yagerman – Wachovia Capital Markets, LLC: Last one and I’ll turn it over to someone else. Just curious to hear I guess comparisons between the integration of Priority and the integration of Bullock and how you felt those dragged or didn’t drag on your OR over the last couple of quarters.
David S. Congdon: Actually we did not go through that measurement before this conference call like we had in previous calls, but the last time we looked at it, it did not appear to be measurable.
J. Wes Frye: Maybe a couple of tenths but anecdotally both of those are more strategic acquisitions from a revenue base. They only provide maybe 1%, maybe a little bit more of a percent of our growth this year, so the ratio would have very minimal impact.
David S. Congdon: And the Bullocks acquisition was primarily an overlay of existing territory. We really did not take on any, except for Farmington, any new rent. It all kind of rolled into OD. We did have a little bit higher rent in Albuquerque because we moved into their facility which was twice the size of the one we were operating from and that gave us more capacity for growth in that market.
Operator: We’ll go next Tom Wadewitz of JPMorgan.
Tom Wadewitz – JPMorgan: I wanted to ask you a little bit on the cost side and also get your thoughts about the impact from what the union carriers do. YRC’s got a contract, it looks like Arkansas Best is going to have the same thing and within that contract the wage increase component is lower I think than you would typically see and they’re allocating more to the benefit increase. How much competition in terms of the way that you pay is direct versus the union carriers and if they end up paying a lower wage increase the next five years, does that affect how much you have to increase your wages? How should we think about that?
J. Wes Frye: Our wages are real, the per hour, are real comparable with the union wage levels across most of our network. They might be a little lower in a couple of our regions, but due to the fact that we have a higher level before you earn overtime, our drivers and dock workers tend to make more money, or can make more money, than the union folks who are cut off at 39 and 40 hours. We’re not really thinking that the contracts that have been signed will have any material impact on our decisions as to what we do in the future with our pay increases.
Tom Wadewitz – JPMorgan: So you don’t have much sensitivity to that and you don’t necessarily base your wage increase – You don’t factor in what others are doing, at least not on the union side in terms of wage increases when you consider your own?
J. Wes Frye: We look more at where we are and what type of performance that our company is doing to drive our decision as to what we grant each year in our wage increase.
Tom Wadewitz – JPMorgan: If you look on a calendar-year basis, if you’re looking at 08 and the kind of wage inflation you might have versus what it was in 07. What would that tend to look like?
J. Wes Frye: 07. About 3% on a prior basis.
Tom Wadewitz – JPMorgan: And then what do you think 08 would like?
David S. Congdon: Probably similar.
J. Wes Frye: Yeah, probably similar. Depending on what the consumer price index does at the time and as David mentioned what our performance looks like for the year.
Tom Wadewitz – JPMorgan: The restructuring activities being likely to come out of YRC – and I apologize for spending a little time the union, guys, but they’re so big in the market and if they do some restructuring activity I would think the potential for additional opportunity for you – how much do you run up against them in the market and is that a pretty big opportunity if they stumble a little bit?
J. Wes Frye: Obviously due to the fact that we compete in long-haul, medium length of haul, inter-regional and regional we obviously can gain share if they’re stumbling operationally in any of their companies because we are an alternative to any one of their companies in any of the markets that they serve.
Tom Wadewitz – JPMorgan: So, it does present a pretty big opportunity. Last question and I’ll pass it along. Can you give us a few more thoughts on what your view on the market – It sounds like you think it’s feeble or do you feel like there’s signs of it picking up at all?
J. Wes Frye: No, and here’s the way we feel about this thing. The Fall of 06 was a real strange Fall where our tonnage in shipments dropped off unusually in maybe the last week of September but especially so in October. And from that point forward it’s like a slice of the economy, 5 or 6% of our tonnage growth and shipment growth was just sliced away and our growth rates from that point forward and our sequential trends have followed normal seasonal sequential trends and we have continued to experience a normal amount of acceleration in our business that is attributable to the strength of our business model and the attributes that allow us to gain market share. As the year has progressed through 07, that’s what we’ve seen and our weight per shipment has stayed up, there’s been a lot of talk about recession and freight recession. We agree it’s true that this slice of the economy went away but from that point forward we haven’t seen any things that point to a freight recession.
Operator: Next, we’ll to Ed Wolfe of Bear Stearns.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Was there any day of the quarter? 63 versus 62?
David S. Congdon: No. They both had 62 days.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Okay. We have that in our model for some reason. Can you talk a little – In the report you talked about price weakened, or remained weak at the end of 07. What’s your sense for the direction of pricing if you had to look at that right now going forward? How does fuel being up year-over-year help that scenario of getting between fuel and price, getting what you need to get?
David S. Congdon: We saw sequentially reduced pricing for cities wise month-over-month for each quarter each month in the fourth quarter so that we averaged a 1.4 and as I said in my comments part of that reduction – and we’re probably one of the few RFEL carriers that experienced an actual increase in weight per shipment which as you know, Ed, tends to reduce that revenue per hundredweight on its own. We’re encouraged in January at this point that even excluding fuel surcharge that at least in January we’re seeing a positive revenue for hundredweight growth year-over-year.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Is the weight still growing at the same level in January or is it accelerating or decelerating versus fourth quarter?
David S. Congdon: The weight per shipment at this point is up for January about 2%, so it’s a little bit less than it was in the fourth quarter overall. But the last few days of the month shipments tend to get larger and that – Well, we only have one more day I guess but, it probably won’t change much actually.
J. Wes Frye: No, but it’s still positive. Of course the positive is on a much stronger comparison now because January of last year the economy was in better shape than the fourth quarter of 07.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: If you look into your crystal ball of upcoming negotiations and what’s going on in the marketplace, do you think that net of fuel that that trend improves, stays flat or gets worse over the next two or three quarters?
J. Wes Frye: We’re going to continue implement all of our revenue quality improvement processes during the year which involves renegotiations of all of our contracts and bids. It involves our general rate increase that we’re getting ready to take. The ongoing examination of the profitability of our accounts and doing what we need to do to make sure our accounts are generating the appropriate returns. I sort of feel that the pricing environment – My crystal ball is that if we go into a recession it could get worse, but if the economy does not get done in recession, that pricing will be not up a lot this year, but will still be competitive but I don’t think the pricing environment will get worse.
David S. Congdon: Obviously I think the signal is from looking at our peers the fact that going early with rate increases is a signal that we all look to try to improve our return on vested capital. We’re a little bit later than the others but still we’re earlier than we were last year. Now I know that the question is, is how much of that would you hold given a continued sluggish and recessionary environment but I think the idea is, is that we all know that we need to improve the pricing it seems to me.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Well being that you did it all the same thing last year it doesn’t feel like there’s a lot of precedent that that matters.
J. Wes Frye: But we can change.
David S. Congdon: Somebody asked on another call and we should have rewritten it, the idea once upon a time in 1997 was to move the GRIs back from first quarter back into fourth quarter so that you ask for them at a time when things were tighter.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Now we’ve come all the full circle back to February. Is that a concern as you think about that, I know you guys aren’t the price setter in terms of picking the time for these things, but is that an issue?
David S. Congdon: I don’t think so. I guess we have probably picked up a year every, what, ten years.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Was there any incentive comp that was changed year-over-year because of the tougher year at this quarter versus a year ago in the report?
J. Wes Frye: No, there wasn’t. The plan and how calculated is the same.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Can you give a little more guidance on the $2.00 to $2.05 in terms of what’s the assumptions for new centers, for tonnage, for pricing? What are some of the underlying assumptions in there? Just general direction.
David S. Congdon: We don’t plan on giving guidance on tonnage or margins as we haven’t in the past but obviously through January, as a platform, we’re still seeing our tonnage in January up in the high single digits.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: If you don’t want to get that specific, what are your assumptions about the economy or oil prices to get to your $2.00?
David S. Congdon: Generally we’re of the opinion that the economy will remain very sluggish in the first half and maybe some modest improvements in the second half.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: And oil kind of flattish from here?
David S. Congdon: Yeah, pretty much flattish. Maybe spikes here and there during the year but overall up slightly, maybe $0.05 to $0.10 a gallon but relatively flat.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: The operating days in the first quarter are they same year-over-year? Can you just give me those if you have them Wes?
J. Wes Frye: I can. The operating days are the same, it’s 64 days each there being a leap year.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: So you gain one leap year and you lose one on Easter. Is that how it works?
J. Wes Frye: That’s exactly right because Easter occurs in March of this year compared to April of last year.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Do you have cash flow from operations there for the quarter by any chance?
David S. Congdon: For the fourth quarter?
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Yeah.
David S. Congdon: For the fourth quarter it was roughly $36 million.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: And the Cap X that you talked about 190.5. Was that gross or net of proceeds.
J. Wes Frye: That was net of proceeds which is about $10 million, our proceeds from sale of equipment and real estate.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: And the guidance was net of proceeds too I’m guessing.
J. Wes Frye: Yes.
Operator: We’ll go next to Jon Langenfeld with Baird.
Jon Langenfeld – Robert W. Baird & Co., Inc.: I guess on the pricing side, if you think of the contracts you’re renewing today what sort of price increases would you be getting on them?
J. Wes Frye: I hate to say it, Jon, but I don’t know the overall average that we’re gaining on that.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Would you guess that it’s flat, or up or down?
J. Wes Frye: It’s been up but I can’t remember the exact amount.
Jon Langenfeld – Robert W. Baird & Co., Inc.: That’s fine. But you think it’d be positive. Okay. That makes sense. What does Easter do being in the first quarter versus the second quarter? Does that have a meaningful impact on you in terms of your operations or costs or loss of a day?
J. Wes Frye: I would say not meaningful when you look at the quarter as a whole.
Jon Langenfeld – Robert W. Baird & Co., Inc.: I’m assuming the leap year helps with the extra day.
J. Wes Frye: Correct.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Then some of the P&L items, on the miscellaneous line you talked about that a little bit in your prepared remarks, but what was the add back there?
J. Wes Frye: That’s where that favorable experience in our bad debt reserves occurred.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Okay so we reverse that. And then on the ops supply line, is the run up there primarily fuel or there something else.
J. Wes Frye: It is fuel.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Entirely?
J. Wes Frye: 90% of it’s fuel.
Jon Langenfeld – Robert W. Baird & Co., Inc.: What sort of tax rate should we think about for 08?
J. Wes Frye: Right now we’re using 39%.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Do you have any planned divestitures, bigger ticket items that we should think about or charges, tax gains, that are inclusive of your guidance for 08?
J. Wes Frye: No, not really.
Jon Langenfeld – Robert W. Baird & Co., Inc.: Okay, so just general operations?
J. Wes Frye: Correct.
Operator: We’ll go next to Jason Seidl with Credit Suisse.
Jason Seidl – Credit Suisse: Quick question. I know we’ve touched on it before with some other questions, but in relation to the pending reorganization at YRC’s regional group have you started see customers shift freight from some of those carriers that may be impacted by a reorganization of their mapping to your business?
David S. Congdon: Nothing real specific. But as Wes indicated our length of haul reduced in the fourth quarter a little bit. I don’t know how much –
J. Wes Frye: About 1%.
David S. Congdon: 1%. So maybe we’ve had some shift there.
Jason Seidl – Credit Suisse: Wes, I know you said that the weight per shipment is up about 2% here in January. Is the length of haul down a little bit again year-over-year?
J. Wes Frye: It is down slightly but it’s still in that 1% range.
Jason Seidl – Credit Suisse: You mentioned that you were sure that you were getting positive increases on your contractual renewals. Has the length of the contracts still stayed about a year a piece or is anybody looking for tier contracts in this market.
J. Wes Frye: Just generally still on a year-by-year. [Inaudible]
Jason Seidl – Credit Suisse: I apologize if this one has been asked already, but in terms of anymore acquisitions on the tuck in side, have you seen an increase in the number of companies coming across your desk given the sluggishness of the economy?
J. Wes Frye: Maybe a little bit of increase primarily with just very small carriers. Sometime they’re too small to even consider.
Operator: We’ll take our next question from Tom Albrecht with Stevens, Inc.
Thomas Albrecht – Stevens, Inc.: Let me just ask a few basic questions. Depreciation, Wes, what’s your rough guidance for 2008?
J. Wes Frye: Depreciation probably will be a little bit lower than it was in 07 for 2008 due to we’re able to extend the lives of our equipment for the year and as you an imply from the Cap X that will serve to reduce depreciation slightly by 10 basis points.
David S. Congdon: And also we probably bought, well we did buy a little bit more power equipment and maybe trailers too in 07 for higher tonnage growth than we actually experience. I believe we’ve got some fat in the fleet right now and we’re hoping to absorb most of our growth with the existing fleet for the year.
Thomas Albrecht – Stevens, Inc.: I want to just get a few operating statistics. What was the change in your load factor, your shipments per hour and your dock pounds per hour? Just in the fourth quarter.
J. Wes Frye: In the fourth quarter our pounds per hour was up 6%.
Thomas Albrecht – Stevens, Inc.: Except the dock pounds?
J. Wes Frye: Yeah platform pounds per man hour is up 6.4%. On the P&D side our stocks per hour was up about 1.4%. On the laden load average side it was actually down 2.4% but that was as a result of protected and even improving our on-time service which improved about 2%.
Thomas Albrecht – Stevens, Inc.: I’m sorry, which one was down 2%? The load factor?
J. Wes Frye: The average laden load factor, yes.
Thomas Albrecht – Stevens, Inc.: Shipments per hour. Is that thing as stops per hour?
J. Wes Frye: Shipments per hour, shipments per stop, shipments per hour was about the same. Both of those, stops per hour and shipments per hour were up about 1.4%.
Thomas Albrecht – Stevens, Inc.: This is just more for my own recordkeeping, I think you described the tonnage throughout the quarter as relatively even, but I’d just like to have it for a year from now. October, November, December the approximate changes in your tonnage for each of those months.
J. Wes Frye: For October, we saw a tonnage increase of 9.1% and it accelerated to 10.1 in November and further accelerated to 11.8 in December.
Thomas Albrecht – Stevens, Inc.: And Bullocks is what, maybe 1% of that?
J. Wes Frye: I would say probably less. We didn’t –
David S. Congdon: It wasn’t even a full month.
J. Wes Frye: Until mid-December.
David S. Congdon: We only have about two weeks [inaudible].
J. Wes Frye: It would probably have been round.
David S. Congdon: We had one week before Christmas, one full week, and then we rolled into Christmas.
J. Wes Frye: Instead of 11.8 it was probably without Bullocks 11.79.
Thomas Albrecht – Stevens, Inc.: I like that precision. You’ve had good trends with cargo recently, I think it was 1.2% of revenues in the third quarter. How about in the fourth quarter?
J. Wes Frye: In the fourth quarter our cargo, we continue to have good results there. Average for the quarter was just under 1%.
Thomas Albrecht – Stevens, Inc.: And you would have been what 1.6, 1.7 a year ago maybe?
J. Wes Frye: A year ago we averaged 1.6%. So quite an improvement in our – And we’ve been putting a lot of focus on that so we’re seeing good results there.
Thomas Albrecht – Stevens, Inc.: Let me just, I had a couple other questions. Bear with me just a moment. I wasn’t clear from one thing, Wes. You made a comment that the other expense net that was due to a decline in the value investments in your deferred compensation plan, but the miscellaneous expenses net was way down. Was that a decline in bad debt? I would have thought –
J. Wes Frye: Yes of a favorable experience for the quarter in our reserves for bad debts.
Thomas Albrecht – Stevens, Inc.: Like over a million bucks I would assume?
J. Wes Frye: You mean a million bucks over what it was last year?
Thomas Albrecht – Stevens, Inc.: Improvement or reversal, however you want to word it? I mean the year-over-year change was about $1.7 million in your favor but it’s a bulk of business you’re constantly looking at. I wouldn’t imagine it all turned positive. Probably what, one or two accounts that -
J. Wes Frye: It’s on average about a half a million.
Thomas Albrecht – Stevens, Inc.: Your operating supplies and expenses, obviously that’s up primarily because of the increase in diesel fuel, what $18, $19 million, but of that $68 million you spent in the fourth quarter, how much of that line item approximately is diesel fuel versus maintenance expenses and other categories? Of the operating supplies.
J. Wes Frye: I’m getting to the number, hold on. Our fuel runs of that roughly 17% in the quarter, 19% excuse me. Fuel runs about 14 percentage points of that, 14% of the 19%. So it’s 75% of that line cost.
Thomas Albrecht – Stevens, Inc.: I think that’s it. I just mostly had statistical stuff today.
Operator: Next we’ll go to John Larkin with Stifel Nicklaus.
John Larkin – Stifel Nicklaus & Company, Inc.: I’ve got a couple of maybe bigger picture questions here. The Teamsters – I know that’s not one of your favorite words, but they’ve been a little more active out there in the marketplace with a couple of different trucking companies – and just wondering if you’ve seen any increased activity levels at any of your service centers?
J. Wes Frye: No.
John Larkin – Stifel Nicklaus & Company, Inc.: The next question I had, UPS Freight seems to be doing an awfully nice job of bundling its services with their package and parcel generating a lot of growth as a result of that and we’ve also heard that FedEx, particularly the former Watkins operation, has pretty aggressive pricing out in the marketplace. Do you see any increased level of competition from those two players out there in the marketplace?
David S. Congdon: We haven’t really heard all that much in the last several months from them. There was some aggression earlier as UPS Freight started up from this [inaudible] approach but we don’t see that it’s gotten any worse and we haven’t had all that many recent reports. If anything it might have slowed down in aggression.
John Larkin – Stifel Nicklaus & Company, Inc.: Nothing unusual out of FedEx per se?
David S. Congdon: No.
John Larkin – Stifel Nicklaus & Company, Inc.: You restated your goal of hitting a $2 billion revenue run rate by 2010 and that’s been a long-standing goal. I guess you probably didn’t anticipate this little downturn that we’ve been through the last 18 months or so starting somewhere in October of 06 as I guess you mentioned earlier. According to my calculations you need to grow at about 12.5% on the top line over the three years 08, 09, 2010 to get there, but it sort of looks like maybe 2008 will be off to somewhat slower start with respect to the economy not recovering. Does that imply you’re quite comfortable, you can get back to 15% or thereabouts in terms of top line growth in 09, 2010 to meet that objective?
David S. Congdon: Looking at the total for the three of a 12.5% [CAGR], we think we can do that over this period of time and as far as 08’s revenue growth is concerned, we’re not giving any guidance on that right now but we’ve certainly taken what we predict for 08 into consideration in our feeling that we can achieve that 12.5 to 13% CAGR over the three years.
John Larkin – Stifel Nicklaus & Company, Inc.: Next question relates to the 1.4% reduction in revenue per hundredweight. Clearly the increased weight per shipment factors into that as does the decrease in length of haul, I know sometimes, Wes, you’ve been capable of somehow netting out the impact of those sorts of changes.
J. Wes Frye: My capability extends to just a wild guess. Unfortunately we don’t have an algorithm that actually does it so, John, just know that anecdotally that it has an effect, but I just can’t give a number on exactly what that effect is. But I would say given that effect and the fact that being the peer had reductions in their weight per shipment is that would probably for the most part put us in line with everyone else on an orange-to-orange basis.
John Larkin – Stifel Nicklaus & Company, Inc.: It may be something like half of that is related to mixed change and the other half is –
David S. Congdon: It’s as good a number when in doubt and go half. Yeah.
John Larkin – Stifel Nicklaus & Company, Inc.: If you look at the $1.5 million write-off I guess due to the insurance contracts I think you mentioned – Is that the right number, $1.5 million?
J. Wes Frye: They’re not insurance contracts, it’s just that our non-qualified plan has investments that we record and book to the fair value of those investments, investments by our participants, and you may or may not recall we had a positive adjustment from that in the third quarter. Unfortunately, as you also know the stock market kind of also went the other way in the fourth quarter so we had a negative adjustment in the value of those investments.
John Larkin – Stifel Nicklaus & Company, Inc.: Without that negative adjustment in theory your earnings per share would have been what $0.02 or $0.03 higher?
J. Wes Frye: Don’t know the number, haven’t calculated a number, but that seems a little bit high.
David S. Congdon: One thing to just –
John Larkin – Stifel Nicklaus & Company, Inc.: I think that’s how it works out.
David S. Congdon: John, one point to make though in looking at our guidance for next year we certainly have not tried to project the stock market or whether we’re going to have ups or downs with this particular type of adjustment so we have no idea where the market’s going.
John Larkin – Stifel Nicklaus & Company, Inc.: Lastly, the weight per shipment issue historically as a couple of the analysts have mentioned when weight per shipment increases that’s usually an indicator that the economy is in a recovery mode. It seems to me in the past we’ve talked about this with you all and you’ve suggested that it may be more a function of customer mix as you become more of a national player, you really work to develop relationships with bigger accounts that by their very nature have larger shipments. Is that still the way you’re looking at it with respect to this increase in weight per shipment?
J. Wes Frye: Obviously the larger contractual counts does have a weight per shipment that’s higher than our weight per shipment overall. But even that increased on a contractual increase for the quarter 5.1% on weight per shipment. That would account –
David S. Congdon: Then they’d be a fact of demographics.
John Larkin – Stifel Nicklaus & Company, Inc.: So what you’re saying is your tariff customers also have an increase in shipment size?
J. Wes Frye: Slightly. It was more flattish on our tariff customers. It was up about 1%. Much of our increase from that standpoint came from our larger contractual. Now having said that, the economy is one factor but you know market share is another factor.
Operator: Next we’ll go to David Campbell with Thompson, Davis.
David Campbell – Thompson, Davis & Co.: Just a few of the questions left. I could not hear your Cap X for 2007 or I missed the amount. The total amount is $155 million I think net of sales. I guess that’s net of sales?
J. Wes Frye: No that was 08. Is 07 rate what you’re asking?
David Campbell – Thompson, Davis & Co.: This is 07, yeah.
J. Wes Frye: 07 our net capital expenditures was roughly $191 million.
David Campbell – Thompson, Davis & Co.: $191 million net?
J. Wes Frye: Yeah.
David Campbell – Thompson, Davis & Co.: Okay and the 08 number is –
J. Wes Frye: In a range of between $155 to $165 million.
David Campbell – Thompson, Davis & Co.: Right. And that’s net of sales?
J. Wes Frye: That is.
David Campbell – Thompson, Davis & Co.: And includes how much for tractors?
J. Wes Frye: That would include about $40 to $45 million and that’s a net number as well on equipment and trailers. And also $90 to $100 million on real estate.
David Campbell – Thompson, Davis & Co.: Right. Got that. The other question I had was numbers of days for each quarter this year in 2008. Do you have that handy?
J. Wes Frye: I do.
David Campbell – Thompson, Davis & Co.: I got the first quarter, but I didn’t –
J. Wes Frye: Okay first quarter is 64, 64 in both periods. Second quarter it’s 64, 64 both periods. Third quarter is 64, the current year is 63 compared to 63 in 07. And in the fourth quarter it is 62 and 62.
David Campbell – Thompson, Davis & Co.: The last question I have is the decrease in insurance expense in the fourth quarter seemed very good. Is there anything unusual in that expense item?
J. Wes Frye: Not unusual in that much of that was good experience both on our liability insurance as well as our cargo planes experience, both of which we’ve been focusing on quite strongly this year.
David Campbell – Thompson, Davis & Co.: I know that.
J. Wes Frye: We’ve had sequential improvements in both those categories.
David Campbell – Thompson, Davis & Co.: It’s going to be tough to keep doing any better though in the future years. Or do you disagree with that?
David S. Congdon: We’re never satisfied with cargo claims, you’re always working on that and always working to reduce accidents as well. Could it get better? We hope so.
David Campbell – Thompson, Davis & Co.: General rate increase is February 4th this year, is that right?
J. Wes Frye: Our is February 11th.
David Campbell – Thompson, Davis & Co.: Last year it was in April, right?
J. Wes Frye: Last year it was in mid-April, correct.
David Campbell – Thompson, Davis & Co.: So, how do you explain the fact that –
David S. Congdon: Mid-March.
David Campbell – Thompson, Davis & Co.: - not only your company but others are increasing rates in February supposedly in a weak demand? How can demand be weak and [inaudible] rate increases?
J. Wes Frye: One thing you’ve got to keep in mind, we are an asset-based industry and in order for us to be viable we have to have a decent return on invested capital. During a rating environment that presents itself that tends to have a negative effect on that and at some point you’ve got to get back to that return on vested capital and do what you need to do and if it was caused by a pricing scenario, it can only be improved by a positive pricing scenario and I think that’s kind of where the circle is at this point. Now whether we hold onto that as an industry it remains to be seen. But certainly that’s got to be the force behind the initiative.
David Campbell – Thompson, Davis & Co.: It certainly is a very good indication.
Operator: (Operator Instructions) We’ll go next to [Greg Olaf] with BB&T Capital Markets.
Greg Olaf – BB&T Capital Markets: I just have two quick questions. One is a margins question. It looks like you’re able to offset fuel increases here pretty well, better than some of your peers, but is there any way you can take any more out of OR without volume increases or is this pretty much where it’s going to be?
David S. Congdon: We’re continually focusing on improving efficiencies on the platform and in pick up and delivery operations just generally speaking of the field and I think we have continued opportunity to improve that way. Secondly with continued tonnage, shipments, revenue growth across the existing network that in itself provides additional leverage against our operating ratio as well. Thirdly with our focus on some new areas of business and logistics and our truckload brokerage areas, our expedited freight areas, those too should help us continue to improve our margins.
Greg Olaf – BB&T Capital Markets: Lastly, you previously stated that you were in the process of revisiting service centers to retrain on some technology issues. Has this been completed and have you seen any adjustments for this if so?
David S. Congdon: The focus on service centers for improved efficiency that never ends. I started working on that back in 1978 when I got out of college and I haven’t quit yet.
Operator: Next we have a follow up from Ed Wolfe of Bear Stearns.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: You mentioned the depreciation schedule change that you’re looking at the asset lives different? When did you do that and what’s the impact for 08 over 07?
J. Wes Frye: As David mentioned, Ed, we have taken – First of all we probably had a little more equipment than we needed because we based our equipment acquisitions on a little bit higher tonnage plus we had a couple of acquisitions that provided some equipment so as a result – and the last thing we took some of the older equipment and decided that we could run that equipment another year or so. One more year. So all those things combined reduced our Cap X that we’ve implied in the $40, $45 million this year and since we’ve reduced that Cap X the depreciation on used equipment is less on newer equipment so that serves to reduce that depreciation expense as a percentage of revenue.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: As a percentage of revenue but I thought you were saying in absolute dollars it was going to be down in 08 over 07?
J. Wes Frye: If I said that I was not correct. We don’t anticipate it being down from absolute dollars.
David S. Congdon: What, for the equipment?
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Depreciation overall.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: By looking at depreciation overall in 07 at $80 million it should be above $80 million in other words?
J. Wes Frye: It should be, yes.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Do you have an estimate of where that should be?
J. Wes Frye: As I told Tom Albrecht, we still assume that our appreciation will drop as a percentage of revenue maybe 10 to 20 basis points overall.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: That’s more helpful. One last thing. The tax rate of 39%, should we assume the propane credit is going away?
J. Wes Frye: That’s part of that being 39 as opposed to something higher. It’s still implied in that rate.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: But why does it seem that these are going away from everybody? Has the law changed or what’s going on with that?
J. Wes Frye: No the law hasn’t changed but I think it expires this year.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: That’s what I’m saying. So it expired in 07?
J. Wes Frye: No, in 08.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Either you are getting it or you’re not getting it in 08?
J. Wes Frye: We anticipate getting some of that in 08.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: Okay. So why is – What’s driving the tax rate up from this year at a little under 38 up to 39 next year?
J. Wes Frye: We had some other advantages in 07 that – I don’t want to go into detail but we don’t think will apply to 08.
Edward M. Wolfe – The Bear Stearns Companies, Inc.: So for 08 without the propane should we be going to 40 or 39 pretty good going forward at this point?
J. Wes Frye: I’m not ready to discuss what we should look like in 09.
Operator: Next we’ll take a follow up from Tom Albrecht with Stevens, Inc.
Thomas Albrecht – Stevens, Inc.: I had meant to ask this earlier and John asked a little bit about it. I was looking at your weight per shipment. It’s actually up 9 in the last 10 quarters which is astonishing for the environment we’ve been in many of those quarters and I’m wondering have you made a strategic decision to fill your network with more of that truckload spot business? I know in the beginning, Wes, you mentioned 2% of your shipments are averaging 9,000 pounds or something like that. Is that just accidental or is that okay? This is what our network needs so we can maximize productivity.
David S. Congdon: Tom, we’ve made no strategic decision to go after heavier weight shipments. I think maybe it’s just a result of our general process for going after weight and the fact that we can do short haul, medium haul, long haul, whatever the customer needs we can generally do it and maybe it’s just a natural thing that’s occurred in our customer base. It’s not a strategic decision that we’re changing course.
Operator: At this time we have no further questions. I’d like to turn the call back over to Mr. David Congdon for any additional or closing comments.
David S. Congdon: All I want to say is thanks for your participation today and some great questions and your interest in OD. Please give us a call if you have any further questions and we want to wish you all a very prosperous 2008 out there in the stock market. I hope everybody makes a lot of money.
Operator: That concludes today’s conference. You may disconnect your lines at this time.